Operator: Good day, ladies and gentlemen, and welcome to the Q1 2017 Louisiana-Pacific Corporation Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. As a reminder, this conference call may be recorded. I would now like to introduce your host for today's conference, Sallie Bailey, Please go ahead.
Sallie B. Bailey - Louisiana-Pacific Corp.: Thank you very much, Charlotte, and good afternoon. Thank you for joining our conference call to discuss LP's financial results for the first quarter of 2017. I am Sallie Bailey, LP's Chief Financial Officer and with me today are Curt Stevens, LP's Chief Executive Officer; Brad Southern, LP's Chief Operating Officer; as well as Mike Kinney and Becky Barckley, our primary Investor Relations contact. I will begin the discussion with a review of our financial results for the first quarter of 2017, and this will be followed by some comments on the performance of the individual segments and selective balance sheet items. After I finish my remarks, Brad will provide an update on our Siding capacity expansion plan, followed by Curt, discussing the general market environment in which LP has been operating, his perspective on our operating results and give his thoughts on the outlook. As we've done in the past, we've opened up this call to the public and are doing a webcast. The webcast can be accessed at www.lpcorp.com. Additionally, to help with the discussion, we've provided a presentation with supplemental information that should be reviewed in conjunction with the earnings release. I will be referencing these slides in my comments. We filed our 10-Q and an 8-K earlier today with some supplemental information. I do want to remind all the participants about the forward-looking statements comment on slide 2 of the presentation. Please also be aware of the discussion of our use of non-GAAP financial information included on slide 3 of the presentation. The appendix attached to the presentation has some of the necessary reconciliations that have been supplemented by the Form 8-K filing we made this morning. Rather than reading these two statements, I incorporate them with this reference. The first quarter of 2017 was LP's highest adjusted EBITDA first quarter in the last four years. On $611 million of sales, we reported $112 million of adjusted EBITDA and 18% adjusted EBITDA margin. While this past quarter adjusted EBITDA was below the $121 million reported for the first quarter of 2013, the change in our mix of earnings is worth noting. In 2013, the adjusted EBITDA was driven by OSB price. North Central OSB price on a 7/16 basis was $417 per thousand board feet, and OSB represented 77% of the business segment adjusted EBITDA. Our Siding business was 18% of the business segment adjusted EBITDA. The high OSB pricing was the most significant driver of the earnings in that 2013 quarter. In this past quarter, OSB pricing for North Central on a 7/16 basis was $297 per thousand and OSB represented 55% of the business segment adjusted EBITDA. In the first quarter of 2017, the Siding segment was $49 million of adjusted EBITDA, reported almost twice the adjusted EBITDA of the first quarter of 2013, when Siding represented 36% of the total. We are executing on our strategy to grow the percentage of earnings derived from the Siding segment. With that, let me go into the detail. Moving to slide 4 of the presentation for a discussion of first quarter 2017 consolidated results. We are reporting net sales of $611 million for the first quarter of 2017, a 21% increase from the net sales of $505 million reported in the first quarter of 2016. In the first quarter, we recorded net income of $55 million or $0.38 per diluted share, compared to a net income of $10 million or $0.07 per diluted share in the first quarter of 2016. The adjusted income from continuing operations for the quarter was $48 million or $0.33 per diluted share, based upon a normalized tax rate of 35%, as compared to $10 million or $0.07 per diluted share reported in the first quarter of 2013. Adjusted EBITDA from continuing operations was $112 million in the quarter, compared to $52 million in the first quarter of 2016. Moving on to slide 5 and the review of our segment results, beginning with OSB. OSB reported net sales for the first quarter of 2017 of $268 million, up 24% from $217 million in the first quarter of 2016. OSB reported operating income of $60 million, compared to operating income of $15 million in the first quarter of 2016. Adjusted EBITDA from continuing operations was $75 million, compared to $30 million in 2016. Sales volumes were essentially flat. Pricing for OSB was higher by 24%, which improved operating results by $54 million. Offsetting the higher sales price was an increase in manufacturing costs due to downtime related to capital projects, primarily a press rebuild at our Jasper OSB facility, as well as higher maintenance spending. We do believe that the Jasper press rebuild reduced our first quarter earnings by about $12 million. Slide 6 reports the results of the Siding business. This segment includes our SmartSide and CanExel siding products, as well as OSB produced on one line at our Hayward, Wisconsin operation. The Siding segment reported sales of $214 million, an 18% increase from the first quarter of 2016; operating income of $40 million, $18 million higher than the $22 million of operating income reported in the first quarter of 2016. Adjusted EBITDA of $49 million in the first quarter of 2017, was an increase of $14 million over the first quarter of 2016. For the quarter, SmartSide average sales prices were up 2% and volumes increased 16%. Volume increased on our SmartSide siding line due to increased demand, some of which was probably moved forward into the first quarter from the second quarter due to the price increase we announced on March 1. The increase in OSB sales price on products sold in the Siding segment accounted for approximately $3 million of the increase in operating result and adjusted EBITDA. We produced 51 million feet of OSB in this segment during the first quarter of 2017, slightly below the OSB production of 53 million feet in the first quarter of 2016. Please turn to slide 7 of the presentation, which shows the results from our Engineered Wood Products segment. This segment includes I-Joist, Laminated Strand Lumber, Laminated Veneer Lumber, OSB produced at our Houlton, Maine facility, plus other related products. This segment also includes the sale of I-Joist and LVL products produced by the Abitibi joint venture or under a sales arrangement with Murphy Plywood. The Engineered Wood Products segment recorded sales of $82 million in the first quarter of 2017, up from $72 million in the first quarter of 2016. The segment reported operating income of $1 million in the first quarter of 2017, as compared to an operating loss of $3 million in the first quarter of 2016. For the first quarter of 2017, adjusted EBITDA from continuing operations was $5 million, as compared to $1 million in the first quarter of 2016. Improved utilization at our facilities was the most significant driver of this segment's improved performance. Volumes of high I-Joist were up 11% and volumes of LVL and LSL were up 2%, compared to the same quarter of last year. Pricing was up 2% in LVL and LSL, and up 1% in I-Joist. Moving on to slide 8 of the presentation; for the quarter, our South American segment recorded sales of $38 million, $7 million higher than the $31 million reported in the first quarter of 2016. Operating income was $5 million and adjusted EBITDA was $7 million for the first quarter of 2017, about flat with the same quarter in 2016. Volumes in Chile were up 23% and volumes in Brazil were up 1% as compared to the same quarter of last year. The sales volume increase in Chile was due to selling imported products. In U.S. dollars, pricing was up 4% in Chile and 11% in Brazil. In local currency, Chile pricing was down 2% and Brazil's pricing decreased 10% as compared to the same quarter in 2016, due to the appreciation of the Chilean peso and Brazilian real against the U.S. dollar. Total selling, general, and administrative expenses were $48 million in the first quarter of 2017, compared to $42 million in the same quarter of 2016. For the quarter, the increase in selling, general and administrative expenses was primarily related to increases in certain management incentives and higher costs associated with sales and marketing. Please refer to slide 9 of the presentation; as of March 31, 2017, we had cash, cash equivalents, investments and restricted cash of $668 million, working capital of $859 million, and net cash of $309 million. Capital expenditures for the first quarter were $26 million. We are forecasting capital expenditures for 2017 between $175 million and $200 million. This includes funding for the third mill in Chile, as well as funding for current siding capacity optimization, and additional siding capacity. As I mentioned on our call last quarter, we'll begin paying taxes in the U.S. in 2017. The U.S. represents approximately 70% to 75% of our operating income. The tax payments relate to our 2016 earnings, including the gain on the sale of timber sold in 2003, as well as 2017 forecasted earnings. In the second quarter, we anticipate tax payments just over $90 million. We don't anticipate paying cash taxes in Canada due to our net operating loss carryovers. The benefit amount of our available Canadian net operating losses was $53 million at the end of 2016. And before I turn the call over to Brad for his comments, I would like to remind, everyone, on the call that we are hosting an investor trip to our Hayward, Wisconsin Mill on June 26, and June 27. We selected the Hayward Mill for the Investor Day to highlight the synergies between the Siding and OSB segment. If you are interested in joining us, please let Mike Kinney know. Now, I'll turn the call over to Brad for his comments.
William Bradley Southern - Louisiana-Pacific Corp.: Thank you, Sallie, and good afternoon to all. As Sallie reported, we continue to drive strong SmartSide volume and revenue growth. Our capacity expansion strategy for SmartSide is to stay ahead of demand using a rigorous evaluation process. This process considers factors such as timing, scale, production cost, capital cost, staffing, construction risk and operating risk. Last quarter, we reported that we completed the mill swap in Québec with Norbord and acquired a manufacturing site in Cook, Minnesota that gives us additional flexibility to add capacity to support the growth in our SmartSide business. In addition, we have explored the option of converting other aspen wood-based OSB mills in our system or owned by others. Because of the growth we're seeing on the West Coast and our desire to lower the risk, our current plan is to convert our Dawson Creek, British Columbia OSB mill to a SmartSide plant. Key factors that differentiated this side are timing to first board, wood cost, cost of production, proximity to our West Coast customer base, and reduced operational risk due to the fact that Dawson Creek is currently staffed and producing OSB. We plan to request board approval for this conversion project in July once we have completed the detailed engineering and design. With that said, both Val-d'Or, Quebec and Cook, Minnesota sites are likely options for future Siding expansion. Given our strong SmartSide demand growth, we estimate that the Dawson Creek conversion will satisfy about two to three years of demand growth. Since Val-d'Or is not currently operating and the Cook, Minnesota site will basically be a brownfield mill with new buildings and equipment, we are continuing our planning process for both locations with a focus on Cook. Given the brownfield nature of Cook, we have initiated a more detailed engineering and design study, which will be followed by the necessary environmental permitting assessments. These are exciting times for our SmartSide business. We're fortunate to have multiple viable manufacturing options to support the demand growth being realized by our sales and marketing team, with the support of our distribution partners. With that, I'll turn the call over to Curt.
Curtis M. Stevens - Louisiana-Pacific Corp.: Thanks, Brad, for the update on the Siding expansion. With the growth that we've seen in the last couple of years, I'm more determined than ever to making sure that we have the capacity available to grow this business meaningfully. Good afternoon. Thanks for joining us on the call. I recognize this is a Friday afternoon, but our board of directors took several actions this morning that we wanted to discuss with the analysts and investors as soon as possible. I'll get to that in a few minutes. As usual I'll start with our safety performance. In Q1, we had a total incident rate of 0.45 and a 12-months rolling average of 0.44. In addition, we were informed by the APA that based on our 2016 safety performance, LP won 10 out of the 11 safety awards that we were eligible for, including the Safest Large Company, and the Safest Small Company. And you might ask yourself, how can we be both a large company and a small company. The Small Company award actually went to the Resolute LP I-Joist JV in Québec that has two mills. Today, I'll be providing comments on our results and accomplishments in the first quarter, provide some comments on the lumber countervailing duties that were recently put in place on Canadian imports, give you my views on housing and the outlook for the rest of 2017, and end with a few comments on the upcoming leadership change at LP. I know Sallie went through our financial results in detail, but I'd also like to have a chance to talk about those numbers. So, total sales, Sallie said, were 21% higher than Q1 of last year, led by higher OSB pricing and a 16% volume increase in Siding. Net income was $55 million and adjusted EBITDA at $112 million. A couple of other highlights in the quarter, this was the best quarter in a decade in our EWP segment, which returned to profitability. And then, I think Sallie mentioned that we did have a successful Jasper press rebuild, although it cost us a little bit in earnings and was the right thing to do at the right time, and we're expecting good things out of that press rebuild. On the lumber duties, I'm actually little surprise by the number of questions we've got on the recent announcement on the countervailing duties. But let me just give you a little background and tell you how it might affect us. As many of you know, the dispute goes back probably 30 or 40 years and is grounded in the fact that most of the timber in Canada is owned by the provinces. The U.S. producers contend that the Canadian government uses this resource to create jobs in the communities where the wood is located. But to make these companies competitive, the contention is that this is essentially a government subsidy. Over the last several decades, there has been much legal action, but usually the two governments have come together with a managed trade agreement. The last managed trade agreement expired in October of 2015. The agreement did provide for a one year renegotiation period. During that time, there was no agreement. At the end of the period, the U.S. producers filed for both countervailing and antidumping duties to be applied on these Canadian imports. On April 24, U.S. announced preliminary countervailing duties that will be applied to the softwood lumber imports into the U.S. that vary between 3% and 24% for the five specific companies investigated and an all-other rate of around 20%. The second duty antidumping will likely be announced on June 23, and has been estimated to be in the range of 10% to 15% on top of the countervailing duties discussed just above. So, the questions for LP is how will this affect our business? None of the products we manufacture are subject to these duties. We do purchase softwood lumber from Canada for I-Joist production in California, we could see an increase in price. With higher lumber pricing, this could also make our I-Joist, Laminated Strand Lumber and Laminated Veneer Lumber more competitive. These duties will raise the cost of construction for new homes, and there could be a dampening effect on housing starts. Finally, we have heard from at least two stocking distributors that they allocated more their inventory dollars to buying lumber ahead of the duty announcement, which lowered their investment in some of our siding products. Turning to housing market, current consensus for 2017 is actually a little bit higher than it was reported last quarter, at 1.268 million. It's an 8% increase over last year. Perhaps, this is finally the year where actual housing starts will be higher than the forecast at the beginning of the year. That has not happened in a very, very long time. Other economic news related to construction is mostly good. The average rate for 30-year fixed mortgages was 4.08% during the week ended April 14, which was slightly lower than what we talked about last quarter. The inventory of existing homes for sale is at historic low levels, while new home inventory increased a little bit. The Case-Shiller Home Price Index has stayed steady at about a 5% increase since about the middle of 2015. Unemployment rate declined to 4.5% in March, and I just saw it was 4% reported today. Consumer sentiment remains very high and, in fact, the April reading of 115.2 for current conditions is the highest reading on record for consumer sentiment. And retail sales of building materials and garden equipment in the quarter rose at a rate of about 16%. So for the rest of the 2017 and the discussions we've had with distributors, dealers and builders, all of them are feeling good about the demand in the market and they're seeing good levels of activity. The complaints from builders are similar to what I reported last quarter, labor availability and quality, and the negative impact of aggressive enforcement of immigration; regulations, too many, too complicated and adds too much expense; and higher raw materials costs, lumber and panels in particular. As I just mentioned, there is a heightened level of concern with the recently announced lumber duties assessed against the Canadian producers. Another bright spot for the next few years is expected to be repair and remodeling. With home prices rising, there is an increased ability to finance new projects with homeowners' equity loans. In addition, with rising mortgage rates, there is an incentive to stay in your current home longer. With an excellent quarter, first quarter behind us and a strong start this quarter, I believe that 2017 will be a better year for LP than last year. Turning to the personnel side, I'm certain that you all saw the press release this morning on the upcoming leadership change at LP. After nearly 20 years working for the safest company in our industry, I will be retiring as CEO of LP at the end of June. Earlier this morning, the board of directors named Brad Southern as LP's new Chief Executive Officer effective on July 1. I have been working with the board for several years to develop a meaningful succession plan for both the executive management of LP and the continued excellence of our board of directors. Brad was named Chief Operating Officer last November and quickly took on the task of reshaping our organization to be more competitive, efficient and positioned to take full advantage of our growth and innovation initiatives. With Neil Sherman heading up Siding, Jason Ringblom leading OSB and EWP, and Frederick Price expanding in South America, as well as the outstanding functional leadership within LP. Brad has the team in place that will accelerate the positive momentum achieved over the last several years. Today, two of our longtime directors retired, Colin Watson and Dan Frierson; and a third director, John Weaver, decided not to stand for re-election. In anticipation of that, during 2016, we added Tracy Embree and Ozey Horton to the board in anticipation. LP is fortunate to have a well-qualified, diverse and experienced board of directors to provide guidance and support to management as we continue to execute on our strategies to increase shareholder wealth. For me, I'm enjoying coming to work every day. While there are certainly challenges and activities that weren't fun, the people, culture and attitudes have made LP a great place to work. All the accomplishments over the last 20 years due to the work and efforts of LP's employees, and I've been pleased to be a part of these successes. I will miss the interactions that I've had with all of you over the years, with the analysts and investors. You always ask good questions, provided us with your thoughts and views, and we're respectful in our discussions and meetings. Over the next two months, I will be working with Brad and his team to ensure a seamless executive transition. Most of you have met Brad and know him to have high integrity, be a strategic thinker, have strong leadership capabilities. With Brad at the helm, I'm confident in LP's future. Sallie, I'm going to turn it back to you.
Sallie B. Bailey - Louisiana-Pacific Corp.: Great. Thank you, Curt. Charlotte, if we can, we'd like to go to the questions, please.
Operator: Certainly. Our first question comes from the line of Ketan Mamtora from BMO Capital Markets. Your line is now open.
Ketan Mamtora - BMO Capital Markets (United States): Good afternoon. Thank you for taking my question. First on Dawson Creek, can you provide some kind of metrics in terms of CapEx or capacity and timeline?
William Bradley Southern - Louisiana-Pacific Corp.: So, as I mentioned, we're going to go to the board in July with our detailed engineering and capital request. The range of capital probably be between $110 million and $130 million as far as capital cost, and we are looking at a start-up facility in 2019, probably the early part of – like 2018 or early part of 2019.
Ketan Mamtora - BMO Capital Markets (United States): And how much capacity would that – this be, Brad?
William Bradley Southern - Louisiana-Pacific Corp.: 300 million feet at the Siding.
Ketan Mamtora - BMO Capital Markets (United States): 300 million feet? And you said this is worth two to three years of demand?
William Bradley Southern - Louisiana-Pacific Corp.: Correct. Two to three years, yes.
Ketan Mamtora - BMO Capital Markets (United States): I see. And so the existing capacity that you have will run through the end of 2018, is that correct?
William Bradley Southern - Louisiana-Pacific Corp.: That is correct.
Ketan Mamtora - BMO Capital Markets (United States): And then beyond that, when I think about Val-d'Or and Cook, can you talk a little bit about sort of puts and takes between those two. You said that Cook, obviously, is brownfield and so there is more of a work that needed to be done there. But, can you, kind of at a high level, provide us kind of how you think about those two options that you all have?
William Bradley Southern - Louisiana-Pacific Corp.: Sure. So, just to remind it to everyone, Val-d'Or does have equipment in place as an OSB mill, but it is not running. So, unlike Dawson, which is staffed and running, we would – we require to hire staff and get it up and operational and convert it from OSB to Siding. The mill is also a smaller mill than either Dawson or Cook, with – from a Siding perspective, we're looking at about 225 million feet. So, it would probably be a little quicker ramp-up in Cook because of the existing equipment that's in place. For Cook, as it is more of a brownfield, there are few buildings in place on that site, but it would be – we would need to construct some buildings, do a lot of foundational work, and obviously equip the entire mill. The advantages of Cook, though, is, it is a larger mill, it would be about 400 million square feet, so it would be even larger than Dawson, and has a footprint where down the road even a second press line could be added. So, there is a lot of – Cook gives us a lot of upside on volume. It's a beautiful land – piece of land, beautiful site to construct the mill and then expand it to a second press line in the future if we need to. So, Val-d'Or would be a smaller option, but a little quicker getting it up and running.
Ketan Mamtora - BMO Capital Markets (United States): Understood. And just to be clear, so this 400 million square feet that you said for Cook is just on one line, is that correct or second press line...
William Bradley Southern - Louisiana-Pacific Corp.: That is...
Ketan Mamtora - BMO Capital Markets (United States): ...capacity would be on top?
William Bradley Southern - Louisiana-Pacific Corp.: ...correct. Yeah, that's the 400 million square feet that I mentioned is one line, correct.
Ketan Mamtora - BMO Capital Markets (United States): Understood. And just one follow-up on Dawson. So, is it fair to say up until the time of conversion, the Dawson Creek mill will be running to OSB, so I mean the transition should be pretty seamless when you switch over from OSB to Siding, so implying that you could produce OSB right until the end of 2018?
William Bradley Southern - Louisiana-Pacific Corp.: Correct. That is very similar to what we did in Swan. We will produce the OSB up until the day. We can take the plant down to tie-in and do all the conversion – the conversion tie-ins. We were down in Dawson for – I mean, on Swan, for four weeks -
Curtis M. Stevens - Louisiana-Pacific Corp.: Four months.
William Bradley Southern - Louisiana-Pacific Corp.: I am sorry, four months for the conversion. And so, we're looking at running up to it, shut down three to four months and then they come up running a combination of Siding and OSB as we go through the learning curve.
Ketan Mamtora - BMO Capital Markets (United States): Okay, got you. That's very helpful. I'll turn it over and thanks for all the answers.
William Bradley Southern - Louisiana-Pacific Corp.: Okay. You're welcome.
Operator: Thank you. Our next question comes from the line of Chip Dillon from Vertical. Your line is now open.
Clyde Alvin Dillon - Vertical Research Partners LLC: Hi. Good afternoon, Curt, Brad, and Sallie.
Sallie B. Bailey - Louisiana-Pacific Corp.: Hey, Chip.
Clyde Alvin Dillon - Vertical Research Partners LLC: My first question is just on the Siding results. It would seem like – and I might have missed the number here, I think you said that your production of commodities – of just regular OSB there fell, so it was like 53 million square feet this year, and what was it last year in the first quarter?
Sallie B. Bailey - Louisiana-Pacific Corp.: Other way around, it was $53 million last year and 51 million – 53 million square feet last year and 51 million square feet this year.
Clyde Alvin Dillon - Vertical Research Partners LLC: Got you. So given where prices are, it was probably about a $3 million swing for you if you assume prices were up $50, $60 year-over-year, is that in the right ballpark?
Curtis M. Stevens - Louisiana-Pacific Corp.: For the Siding segment, that's correct. As Sallie said.
Clyde Alvin Dillon - Vertical Research Partners LLC: Early (28:32) for that, yeah, okay. And then, how much would you estimate, I know we had this issue two years ago with a pull forward in the segment, but yet I don't – I'm not sure you were putting it forward a price increase, though. (28:47) strong first quarter in 2015, and then – and unusually it was down seasonally in – despite seasonality in the second quarter, a little bit to EBIT. And when you look at the impact this year, I guess there are two pieces, one is the positive of the pricing, and then – but then there is the negative of the pull-forward. And I'm guessing a couple of years ago, it could have been $5 million or $8 million that went to the first from the second quarter. Would it be that kind of magnitude this year?
Curtis M. Stevens - Louisiana-Pacific Corp.: Well, remember that one of the reasons why Q2 is typically lower than Q1 is we sell to the pre-finishers, and they buy ahead, so they can pre-finish during this spring to get ready for the summer selling season. So, it's not atypical for second quarter to be lower than the first quarter because of that factor. And then you add into this, the fact that we did put price increases in, and we staggered them by segment. So, we've got price increase in the shed segment in Q1. In March, we had a price increase in retail sector and it wasn't till April 5 or April that we had a price increase for the largest piece which is the distributors. So, yeah, we do think we brought something forward. I don't know if I can exactly quantify it.
Sallie B. Bailey - Louisiana-Pacific Corp.: Chip, this is a very different situation than two years ago. Two years ago was – as we're getting ready to go into Swan and so we are putting customers on allocation, we do think that part of the reasons that we've pulled some – potentially pulled some demand forward is because we did allow our customers to buy up to – in the first quarter of 2017, to buy up to 20% more than they bought in the first quarter of 2016 under the old pricing. So, that's part of what is leaving us to that conclusion. So, I think, we wait to see when we get through the second quarter to be able to quantify the impact.
Clyde Alvin Dillon - Vertical Research Partners LLC: And the pricing is what – what was the percentage roughly?
Curtis M. Stevens - Louisiana-Pacific Corp.: It was – depending on the segment and the region, it was between 2% and 6%.
Clyde Alvin Dillon - Vertical Research Partners LLC: Okay. That's very helpful. And then just shifting gears back to the expansion. And let me just say, it's been great how you all have given us some – been very candid with some of your thoughts about Val-d'Or, Cook, and now Dawson. And I seem to think last fall, it looked like – it seemed like that Val-d'Or was your first option and that Cook was your second. Now, if I heard you right, I believe – and I might have completely missed this, but I believe the expansion you just mentioned that would be 300 million square feet is actually Dawson and that Val-d'Or is maybe the last option, is that fair?
William Bradley Southern - Louisiana-Pacific Corp.: Well, no, it's not – let me tell you the factors that will go into, if these are the only two options when we get ready to build or convert the next mill, here is what would weigh into those. First of all the size. So, as we've mentioned, Cook is a lot larger and so it'd cover a longer period of time of demand growth. There is a nice advantage to Val-d'Or though and that is a 16-foot press, which is very conducive and optimal for making lap and trim siding. So depending on our mix growth over the next couple of years, that will weigh on how we make the decision for the next mill swinging in between Val-d'Or and Cook. But I will say, if Val-d'Or happens to be the next, because it's so small, we would almost immediately have to be working on Cook or another option behind that, because it could only cover a year-and-a-half to two years of growth on our current pace. So...
Clyde Alvin Dillon - Vertical Research Partners LLC: Whereas when you look at Dawson, which you said was 300 million feet, that would – how much – how long would that cover you for? So, I know you're good through 2018, so how long should that cover you?
William Bradley Southern - Louisiana-Pacific Corp.: Two to three years.
Clyde Alvin Dillon - Vertical Research Partners LLC: Two to three years? So, you really would need to not have to have a Cook or Val-d'Or out there until like 2020, 2021 or so give or take?
William Bradley Southern - Louisiana-Pacific Corp.: Correct.
Clyde Alvin Dillon - Vertical Research Partners LLC: Okay. That's very helpful.
William Bradley Southern - Louisiana-Pacific Corp.: But both of those would have a lot longer conversion cycle, because we're not currently operating, so we would need to get started on those earlier than we're having to do with Dawson.
Clyde Alvin Dillon - Vertical Research Partners LLC: Okay. And then the last one real quickly on, on Dawson. I know when Curt was giving us some numbers on the Siding – unlike Val-d'Or and Cook, there is a difference, it looks the Siding ratio is maybe 75% of the square foot, put into OSB. So, would that mean that you're giving up maybe 400 million feet, which you ramp up fully at Dawson in commodity OSB to get the 300 million feet of Siding, is that a good guess?
William Bradley Southern - Louisiana-Pacific Corp.: We'd giving up about 50 million feet. The difference in capacity between Dawson on OSB and Dawson on Siding is about 50 million feet.
Clyde Alvin Dillon - Vertical Research Partners LLC: Okay. And Curt, listen, best of luck as you move forward, it's been great working with you, and again it's been a pleasure. I hope you enjoy your retirement.
Curtis M. Stevens - Louisiana-Pacific Corp.: All right. Thank you, Chip.
Operator: Thank you. Our next question comes from the line of James Armstrong from Armstrong Investment. Your line is now open.
James H. Armstrong - Armstrong Investment Research: Good afternoon. Thanks for taking my questions, and Curt, good luck on the retirement.
Curtis M. Stevens - Louisiana-Pacific Corp.: Thanks.
James H. Armstrong - Armstrong Investment Research: First up, just going back to Val-d'Or and Cook, could either of those come up online as an OSB facility before they actually are converted or would those probably stay idle until a conversion actually happens?
William Bradley Southern - Louisiana-Pacific Corp.: No, actually they could, both could and would. We would want to run OSB in either of those two facilities for a while to make sure we have the proper quality control systems in place before Siding conversion. So, the timing of that depends on a lot of factors, but we would intend to run either plant on OSB for some period of time before converting it to Siding.
James H. Armstrong - Armstrong Investment Research: Okay. That helps a lot. And then switching gears to Engineered Wood, there's a lot of other companies that have gone out with price increases. I didn't hear that you had announced a price increase. Could you remind us if there is one out there? What the magnitude is and what do you think the timing will be?
Curtis M. Stevens - Louisiana-Pacific Corp.: Yeah. The first price increase we put in place was in Canada and we did about a 10% price increase there. And then in the U.S., we're 7% to 10%, again depending on the product and the region. We didn't see any of that in the first quarter, we'll see a little bit in the second quarter, but the full impact won't happen until Q3.
James H. Armstrong - Armstrong Investment Research: Okay. That helps a lot. And then, as you look to volume in OSB, it was pretty flat while the housing market was up. Was there anything specific to you that held those volumes flat besides one less day in the quarter, or would you probably grow more in line with the market into the second quarter?
Curtis M. Stevens - Louisiana-Pacific Corp.: Yeah. There were two things. One, we did have some equipment downtime in our Peace Valley mill that reduced production by about 20 million feet, and then we did the press rebuild at Jasper, so it was out for 45 days.
James H. Armstrong - Armstrong Investment Research: Okay. So... (36:24).
James H. Armstrong - Armstrong Investment Research: Yeah. Perfect. Thank you very much. That's all I had.
Sallie B. Bailey - Louisiana-Pacific Corp.: Great. Thank you, James.
Operator: Thank you. Our next question comes from the line of Gail Glazerman from Roe Equity Research. Your line is now open.
Gail S. Glazerman - Roe Equity Research: Hi. Thank you. Good afternoon. Just a quick follow up on that last comment. I thought you had a pretty big rebuild last first quarter as well. Can you just give us a sense of either in volume and/or cost, how that might have compare to what you saw this year?
Curtis M. Stevens - Louisiana-Pacific Corp.: The Hanceville outage was a little shorter; it's about 37 days versus 45 days. So that was probably an eight day difference.
Gail S. Glazerman - Roe Equity Research: Okay. And going back to the conversion project and again piggybacking something James was asking about. I mean, is there anything in your system that you would think of doing perhaps like restarting Val-d'Or, as you look ahead to losing the OSB volume at Dawson and do you have wood licenses at Val-d'Or sorted out yet or no?
William Bradley Southern - Louisiana-Pacific Corp.: We do not have the wood license sorted out at Val-d'Or. Back to the question about, would you run OSB before Siding at Cook or Val-d'Or? Both of those options would be considered as a way to secure market share out of Dawson as we converted the Siding. But the timing of that is yet to be worked out. That's how feasible that is.
Gail S. Glazerman - Roe Equity Research: Okay. And on Engineered Wood, I know you had referenced that you had seen some pre-buying in Siding ahead of the price increase, did you see any pre-buying in Engineered Wood ahead of those price increases?
Curtis M. Stevens - Louisiana-Pacific Corp.: We don't think so. Because generally what we do is, Engineered Wood is a little bit different, because our dealers and distributors lock in projects and we guarantee in pricing for that project. And so, that's why it takes longer to get a price increase through to the bottom line in Engineered Wood, because you're committed from a pricing standpoint to those projects.
Gail S. Glazerman - Roe Equity Research: Okay. And just one last one, Curt, could you maybe flesh out a little bit the comments you're making about, I guess, customers allocating maybe some more working capital to buying lumber ahead of duties and how that impacted you?
Curtis M. Stevens - Louisiana-Pacific Corp.: Yeah. We had two specific distributors tell us that they bought lumber ahead in anticipation of the duties coming into place, so that they could save money on that and make a little bit better margin. And as a result, so if they had $100 million they could spend on inventory, they spend more on lumber than they would have normally. And so, they spent less on Siding and putting the Siding inventory in place.
Gail S. Glazerman - Roe Equity Research: Okay.
Curtis M. Stevens - Louisiana-Pacific Corp.: So I think it affected our Siding business.
Gail S. Glazerman - Roe Equity Research: Okay. Thank you.
Sallie B. Bailey - Louisiana-Pacific Corp.: Great. Thanks, Gail.
Operator: Thank you. Our next question comes from the line of George Staphos from Bank of America. Your line is now open.
John P. Babcock - Bank of America Merrill Lynch: Good morning. This is actually John Babcock on the line for George. I just want to follow-up quickly on the Siding projects. You mentioned that you might be running OSB for a period of time there, would any of that be marketed outside of LPX or would that largely just be trials that you'd be running there?
Curtis M. Stevens - Louisiana-Pacific Corp.: It would be sold by our OSB team. I'm not sure, I got the question.
John P. Babcock - Bank of America Merrill Lynch: No. I just wanted to see, because I mean occasionally some companies will run product, but it won't necessarily be of good enough quality to actually sell outside. And so, I just want to kind of get some color there?
Curtis M. Stevens - Louisiana-Pacific Corp.: But we'd expect it to be first quality.
William Bradley Southern - Louisiana-Pacific Corp.: Yes, I mean, there would obviously be some start-up board at the very beginning, but we would be fighting to get to A grade in a matter of days at a new start-up.
John P. Babcock - Bank of America Merrill Lynch: Okay. Sounds good. And then as far as for the full year, are you still expecting, well, full year and also longer term guidance, still expecting growth of around 12% to 14% in the Siding business?
Sallie B. Bailey - Louisiana-Pacific Corp.: Well, they didn't really guide, and so we want to be clear on that just from an FTE point of view. But from a trending point of view, yes, absolutely and – yes, that's our expectation, 12% to 14% revenue growth and 20% adjusted EBITDA margins.
John P. Babcock - Bank of America Merrill Lynch: Okay, sounds good. I think, otherwise my other questions have been answered. Thanks.
Sallie B. Bailey - Louisiana-Pacific Corp.: Great. Thanks, John.
Operator: Thank you. Our next question comes from the line of Mark Weintraub from Buckingham Research. Your line is now open.
Mark Weintraub - The Buckingham Research Group, Inc.: Okay. Not to beat a dead horse, so just are there other ways that you might be able to increase your OSB capacity to fill in for the Dawson Creek besides of Val-d'Or or Cook or if you end up going that strategy would likely be via Val-d'Or or Cook?
William Bradley Southern - Louisiana-Pacific Corp.: Well, we are buyer for OSB capacity in aspen wood baskets as a part of our strategy to grow our Siding business. Also, I will say we are not running our Peace Valley operation, which is in British Columbia, fairly drivable distance from Dawson Creek at full capacity today. And so, some of that volume would transfer into Peace as we continue to optimize that location, which is a very large OSB mill for us. So the near-term solution would be to fill up – get Peace running at capacity and fill it up with volume out of Dawson. After that, then we're looking at some optimization across the rest of our footprint and then Val-d'Or and Cook being two options that are in our portfolio today.
Mark Weintraub - The Buckingham Research Group, Inc.: Okay.
William Bradley Southern - Louisiana-Pacific Corp.: Let me also remind you that when we start up a Siding mill, so like Dawson has 300 million feet of Siding capacity, we won't have 300 million feet of Siding demand immediately most likely. And so we will be running OSB – we will continue to run OSB within our Siding system at both Dawson and back at Hayward. So, it doesn't – the lost OSB capacity doesn't just go away at the conversion, we just move that volume around our existing system, particularly in Siding so that all our mills are running at full capacity and balancing between Siding and OSB.
Mark Weintraub - The Buckingham Research Group, Inc.: Understood. And just one point of clarification where you had talked about both Val-d'Or and Cook that there would be – that would be a longer process than at Dawson Creek. How much of that is a function of you going through the process and where you would be making OSB for a while versus it being higher – getting the staffing in place and all that, because they're not up and going. And maybe if you could just give a little bit more clarity on – from the point you say, it's a go on Val-d'Or to how long it'd be before you would be able to make OSB versus how long after making OSB, it would be then appropriate to be moving into the Siding market?
William Bradley Southern - Louisiana-Pacific Corp.: So I would say, and these are rough estimates, but we're probably looking at from the very go on Cook, two years, including the permitting time in that timeframe. And if we had our (43:55), we would like to run OSB six months before converting it to Siding. And then Val-d'Or would be something less than that given the fact that the equipment's in place there.
Mark Weintraub - The Buckingham Research Group, Inc.: Okay, great. So maybe 18 months instead of the two years or more like 12 months (44:13)?
William Bradley Southern - Louisiana-Pacific Corp.: Yes, 12 to 18 months for Val-d'Or.
Mark Weintraub - The Buckingham Research Group, Inc.: Okay, terrific. Very helpful. Thanks.
William Bradley Southern - Louisiana-Pacific Corp.: And as a preliminary part of that, the critical item would be securing the wood license.
Mark Weintraub - The Buckingham Research Group, Inc.: Okay, thank you.
Operator: Thank you. Our next question comes from the line of Steve Chercover from Davidson. Your line is now open.
Steven Pierre Chercover - D.A. Davidson & Co.: Thanks. So I guess I will try and beat a dead horse. Philosophically, are you guys prepared to actually seed share in OSB, because something's got to pick up the slack, I assume?
Curtis M. Stevens - Louisiana-Pacific Corp.: Well, this plan does seed share, because we're converting on existing OSB mill into Siding. But as Brad said, part of the plan would be to run OSB at a future Siding location.
Steven Pierre Chercover - D.A. Davidson & Co.: Yes. But since you're being transparent and I appreciate that, do your customers get concerned that you will be less of a factor in OSB going forward?
Curtis M. Stevens - Louisiana-Pacific Corp.: I don't think so. No, I don't believe that.
Steven Pierre Chercover - D.A. Davidson & Co.: All right. And then switching gears to South America, I know it's not a huge needle mover, but operating income and EBITDA were flat, but sales were up. So why were the margins down? Was there something operational?
Sallie B. Bailey - Louisiana-Pacific Corp.: Steve, that was the point I was trying to make about selling the imported product. As you're aware, when we import product into Chile from either Brazil or from one of our North American facilities, we really don't get much margin on that, if any. And so, the sales, the increase is primarily due to sales of imported products.
Steven Pierre Chercover - D.A. Davidson & Co.: Okay. And just how is South America doing? Is it finally, particularly Brazil, coming out of its funk and when will that third line in Chile be ready for prime time?
Curtis M. Stevens - Louisiana-Pacific Corp.: So, Brazil is not coming out of the funk, there's new scandals just about every week in the paper. The housing market in Brazil is down between 55% and 60%, and it remains down. What's saving us in Brazil is our ability to ship into China and as well selling the product into Chile, although as Sallie said, we don't get a lot of margins, we give it to the shipper. As far as when the third mill will be operational, it should be the third quarter of next year.
Steven Pierre Chercover - D.A. Davidson & Co.: Great. Well, thanks and congratulations to both you, Curt, and to Brad.
William Bradley Southern - Louisiana-Pacific Corp.: Thank you.
Curtis M. Stevens - Louisiana-Pacific Corp.: Thanks, Steve.
Operator: Thank you. Our next question comes from the line of Paul Quinn from RBC Capital Markets. Your line is now open.
Paul Quinn - RBC Dominion Securities, Inc.: Yes. Thanks very much. First off, congratulations, Curt. You steered LP through some very interesting times both on the high side and also on the low side. So...
Curtis M. Stevens - Louisiana-Pacific Corp.: Thanks.
Paul Quinn - RBC Dominion Securities, Inc.: And choose to fill there, Brad. Couple of questions, wondering, just because of the investor focus on capacity adds, what is Dawson running at now in terms of OSB production? I thought it was more on the value-added side, it wasn't running at a full 380 million capacity?
Curtis M. Stevens - Louisiana-Pacific Corp.: Well, it is running value-added product. It's running some more flooring product and TechShield principally. TechShield doesn't take the capacity out because it's a full process when you add the foil to it. Run a roughly 380 million...
William Bradley Southern - Louisiana-Pacific Corp.: 350 million.
Curtis M. Stevens - Louisiana-Pacific Corp.: ...350 million square feet right now.
Paul Quinn - RBC Dominion Securities, Inc.: Okay. And then, in terms of the increased shipments in Chile, is that coming from primarily Brazil or is that coming from North America? And if it's coming from North America, does it have any kind of financial impact on the segment's result?
Curtis M. Stevens - Louisiana-Pacific Corp.: No, we didn't ship any from North America in the last quarter. It's all from Brazil.
Paul Quinn - RBC Dominion Securities, Inc.: Okay. And then, just on the Siding conversion of Dawson, it looks like it's $400 per thousand higher than I think what you did at Swan, maybe you could just remind us of the cost and what the difference is?
Curtis M. Stevens - Louisiana-Pacific Corp.: Yes. Well, one of the things we're trying to do, and I think Brad said it and while we didn't emphasize it enough is, we don't have the detailed engineering done on the conversion yet. And so, that's what the intention is between now and July is to get that detailed engineering down. So we all have a plus or minus 10% budget for that mill. And you're right, what Brad said is it's somewhere between $100 million, $120 million and Swan, it was $85 million, but what Brad's including is $100 million to $120 million is more capability than we put into Swan. We did it in Swan and we just made it into a panel facility, so you don't have the capability to do lap and trim, which adds about $20 million to the cost. So that's principally what would be one of the reasons if we put that extra capability on.
Sallie B. Bailey - Louisiana-Pacific Corp.: That's a good plan for our investor trip to Hayward in June, because I think, I mean this quite seriously, I think it's a lot easier to visualize the various ways that we have Siding, how we manufacture Siding by actually same as in the mill. So, I know you're on the list, Paul, so we'll make sure we address that when we see you in June.
Paul Quinn - RBC Dominion Securities, Inc.: Great. Okay. And then just long-term and I guess maybe this is a question for Brad, as you're taking over, what do you see LP being in five years? Is this going to be 50% OSB company, 50% Siding or with the growth of Siding and sort of the shrinkage of OSB actually put you more into the Siding camp?
William Bradley Southern - Louisiana-Pacific Corp.: Well, we'd say they're aggressive in large growth opportunity being in our Siding business, what we're talking about the 12% to 14% growth. And obviously, in OSB, there is still some upside on volume because of some of our larger commodity plans have some capacity to – from better optimization. So, that mix is going to swing and also let me add to, we do have value-add products like FlameBlock, lots of legacy flooring product that we launched this quarter that are high value-add OSB products that we're pushing and growing as well. So, our strategy is not to lessen our exposure to OSB in a large sense, but to move up the value chain, so that we are having more stable and higher margin products produced with a lot of emphasis on growing our Siding business, but also a lot of opportunity in our OSB business in areas like TechShield, Flooring and FlameBlock to grow high value-add products enriching our mix there as well. You can do the math on the capacities given what we're doing with the Dawson conversion. And to figure out, we end up being – when we'll be 50/50 and when we'll be 60/40, either way, but our focus is on that 12% to 14% revenue growth in Siding and continue to have value-add growth in our OSB products.
Paul Quinn - RBC Dominion Securities, Inc.: Okay. And maybe I can ask a bonus one, just you've got one main competitor in the Siding side, whose valuation is essentially double of yours right now on an EBITDA multiple basis. What percentage of Siding do you think you need to get to for the market to recognize the business that you've got there?
Curtis M. Stevens - Louisiana-Pacific Corp.: I think the market is beginning to recognize us and I think that you and your other brethren have been helpful to us, and pointing out that there is more of a building material on the Siding than imported products. But I think we're going to make incremental progress every quarter as we continue to show growth and we continue to show the earnings potential out of the Siding business.
Paul Quinn - RBC Dominion Securities, Inc.: Excellent. Thanks very much.
Curtis M. Stevens - Louisiana-Pacific Corp.: I wish I could give you a better answer, but we've been scratching our head on that for four years.
Paul Quinn - RBC Dominion Securities, Inc.: Me too. Thanks.
Sallie B. Bailey - Louisiana-Pacific Corp.: Thanks, Paul.
Operator: Thank you. Our final question comes from the line of Chip Dillon from Vertical. Your line is now open.
Clyde Alvin Dillon - Vertical Research Partners LLC: Yes. I just had a quick follow-up. And that is based on sort of plans you have with – all the activity with the plant in South America and the conversion at Dawson, what should we be using at this point for CapEx, both for this year and next year?
Sallie B. Bailey - Louisiana-Pacific Corp.: Well, for this year, Chip, $175 million to $200 million, and we haven't given CapEx guidance yet for 2018, but you think about the plans we've been talking about, I think that gives you some new build off of some place between $50 million and $75 million for maintenance capital that will have some high capital needs in 2018 as well.
Clyde Alvin Dillon - Vertical Research Partners LLC: So, it looks like it should be – you're going to be fighting most of the spending on Dawson next year. So it would be probably similar to this year, if not may be a tad higher?
Sallie B. Bailey - Louisiana-Pacific Corp.: I would not disagree with that statement.
Clyde Alvin Dillon - Vertical Research Partners LLC: Okay. All right. Thanks, again.
Curtis M. Stevens - Louisiana-Pacific Corp.: But, that's not guidance. That's not guidance, Chip.
Clyde Alvin Dillon - Vertical Research Partners LLC: I understand. It's my guess. But that helps. And, Curt, I will not – we'll not come looking for you to hold you to it. Thank you.
Curtis M. Stevens - Louisiana-Pacific Corp.: All right.
Sallie B. Bailey - Louisiana-Pacific Corp.: All right. Well, great. Thank you, Chip. And, Charlotte, I think that's all the time we have for questions. So if you could please provide the replay number? And I'd like to thank everybody for participating in our call. For those of you who are interested, I hope you get in touch with Mike about the Investor Day in June and as always, if you have any other questions, please give Mike or Becky a call, they are here to answer any follow-up questions. Thank you and have a great day and a good weekend.
Operator: Thank you, ladies and gentlemen, for participating in today's conference. The replay number is 800-585-8367. The other number is 404-537-3406. Passcode, 2358885. Everyone, have a great day.